Operator: Thank you for standing by. This is the conference operator. Welcome to the Finning International Inc. Third Quarter 2022 Investor Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. I would now like to turn the conference over to Amanda Hobson, Senior Vice President Investor Relations and Treasury. Please go ahead.
Amanda Hobson: Thank you operator. Good morning everyone and welcome to Finning's third quarter earnings call. Joining me on today's call are Scott Thomson, President and CEO for his last call say; Kevin Parkes, EVP and COO, who will succeed Scott as President and CEO; and Greg Palaschuk, our EVP and CFO. Following our remarks today, we will open the line to questions. This call is being webcast on finning.com. We have also provided a set of slides that we will reference during our prepared remarks. The slides are posted on the Investor Relations section of our website. You can also view the slides on our webcast page. An audio file of this call and the accompanying presentation will be archived on our website. Before I turn it over to Scott I want to remind everyone that some of the statements provided during this call are forward-looking. Please refer to Slides 11 and 12 for important disclosures about forward-looking information, as well as currency and specified financial measures, including non-GAAP financial measures. Please note that forward-looking information is subject to risks uncertainties and other factors, as discussed in our annual information form under key business risks and in our MD&A under Risk Factors and Management and forward-looking information disclaimer. Please treat this information with caution, as our actual results could differ materially from current expectations. Scott, over to you. 
Scott Thomson: Thank you Amanda, and good morning everyone. It has been an honor to lead the Finning organization over the last nine years. From the beginning, my approach has been to respect Finning's great history and culture, invest in people and technology, and advance sustainability initiatives that will position Finning for long-term success in a rapidly changing world. During the last decade, our global teams have navigated through some challenging times, including volatile business cycles, political and social uncertainty, and the global pandemic. Despite these challenges, we have surpassed our performance records in many important areas, including product support revenue, profitability and earnings per share. Please turn to Slide 2. I could not be prouder of our global team's outstanding execution of our strategic priorities. We continue to drive strong growth in our product support business with Q3 product support revenue up 30% year-over-year to a record $1.2 billion. We have significantly improved our cost structure and are proactively managing inflationary pressures. Our Q3 SG&A as a percentage of net revenue was 16.7%, the lowest on record. And we have significantly expanded our earnings capacity delivering record EPS of $3 over the last four quarters, and return on invested capital above 18%, including a record of 23% in South America. Together with Caterpillar, we have built a leadership position in many of the world's most technologically advanced projects and collaborations. Recent examples include, the renewal of the entire truck fleet at BHP, Escondida with Caterpillar ultra-class electric drive trucks that establishes a path to progressive implementation of autonomy and zero emission trucks at the mine. Significant mining deals in Western Canada, including autonomous truck deployment in the oil sands, one of the largest autonomous sites in the world. HS2 equipment packages in the UK, where we captured 40% of the total industry opportunity for Phase one of this railway project and partnering with our oil and gas customers in Western Canada to reduce emissions with Cat Dynamic Gas Blending engines that allow for up to 85% diesel displacement with natural gas and up to 20% hydrogen blend. We have delivered record results in Q3 and I have great confidence in the future success of this world-class team under Kevin's leadership. Please turn to Slide 3. As we announced in September, Kevin Parkes, who is currently EVP and COO will assume the role of President and CEO on November 16th. Kevin has demonstrated outstanding vision and leadership since joining Finning more than 25 years ago, his strategic thinking, customer-centric mindset, focus on operational excellence, and leadership skills will serve Finning well in the years ahead. Kevin's appointment concluded a thoughtful and comprehensive succession planning process that the Board had been engaged in for some time and highlights the strength and depth of Finning's leadership team. We are fortunate to have exceptionally talented and versatile people working for Finning, and we'll continue to develop our leaders. Finally, this is my last quarterly call as Finning's CEO, and I wanted to express my sincere gratitude to our shareholders, analysts and all of you listening to our earnings calls. I've greatly enjoyed our conversations and your thoughtful questions about Finning's business. I will now hand it over to Kevin, who will provide an update on our operational performance and market environment, as well as share his thoughts going forward as he takes over the CEO role.
Kevin Parkes : Thank you Scott and good morning everyone. First, I would like to thank Scott for his leadership, vision and mentorship. Under his leadership, we have strengthened the capabilities across our organization, building a great foundation for our continued success. I am honored and proud to take on the leadership of Finning, and I look forward to working with our outstanding employees, partnering with Caterpillar to deliver great support to our customers and strong returns for our shareholders. So can one ask you to turn to Slide 4. We are very pleased with the exceptionally strong performance in the third quarter. Our employees continue to work safely and collaboratively with our customers in a challenging, but encouraging environment. We entered the quarter with good inventory levels and we're able to catalyze on continued momentum in our end markets to meet growing customer demands. We are demonstrating consistently strong execution of our strategic plans, proactively managing our supply chain, and improving our earnings capacity. We expect demand conditions to remain healthy across most of our end markets, supported by constructive commodity prices, significant backlog of large projects across all of our regions, and high machine utilization rates. Our customers are making commitments into 2023 and beyond, and we continue to win strategically important business in a tight supply environment. This is resulting in equipment backlog reaching $2.5 billion in September. We expect to deliver the majority of these orders in 2023. We continue to execute our product support growth strategy, which is closely aligned with Caterpillar. We are very pleased with the growth trajectory and significant momentum we are seeing in our product support business levels. This includes great success in the construction space across all regions. Our outlook for product support remains robust. We have been successful in recruiting technicians, while being thoughtful in hiring to build capacity around our network, while driving improvements in labor productivity and service quality. While demand conditions remain healthy, we are mindful of the impact of inflation and higher interest rates on our customers particularly in the construction sectors. Despite the high inflationary environment, we are demonstrating operating leverage by reinforcing our mid-cycle operating cost model and capital discipline. This enabled us to achieve breakthrough earnings and a significantly higher return on invested capital especially in South America. Looking ahead, there are a number of reasons that we feel confident we will finish the year strongly and continue that momentum into 2023. Firstly, we've built significantly high-quality backlog to support our new equipment sales throughout next year. Second, our aftermarket execution has been gaining momentum and we have further opportunities to drive aftermarket share gains, especially in construction. In addition, we are taking those learnings on the construction sector and apply them to the mining sector with some early indications of success. Thirdly, supportive commodity prices and improved capital build to drive an increased investment in growth with our customers and we expect to continue in both Canada and Chile for 2023 and beyond. And finally, as we continue to operate with our mid-cycle discipline to our cost and capital structure I'm confident we'll continue to demonstrate improved performance through all stages of the economic cycle. With that, I'll turn it over to Greg.
Greg Palaschuk: Thank you, Kevin. I'll provide more details on our performance in the third quarter and talk about our regional highlights and outlook. Our consolidated third quarter results are summarized on Slide 5. Net revenue of $2.1 billion was up 20% from Q3 2021 with strong momentum in business activity across all regions, which exceeded our expectations in the quarter. Successful execution of our product support growth strategy, supply chain management and cost discipline drove record profitability and earnings in the third quarter. EBITDA as a percent of net revenue was 12% in both Canada and South America and 6% in the UK and Ireland. EPS of $0.97 was up 59% for Q3 of 2021. We have built a strong backlog for next year driven by mining wins and the notable increase in Power Systems orders. Slide 6 shows changes in our net revenue by line of business compared to Q3 2021 as well as some details on our equipment backlog. New equipment sales were up 8% driven by mining deliveries in Canada and construction deliveries in the UK including HS2. Demand for rental and used equipment was robust in the third quarter and rental utilization rates were high, reflecting a continued tight supply environment. Product support revenue was up 30%, driven by strong market activity and execution of our product support growth strategy including supplier cost pass-through. Consolidated equipment backlog was $2.5 billion at September 30, up 16% from June 30 and 56% from September 30 2021. Order intake was up 25% in Q2. Mining orders are now comprised over 40% of the backlog compared to less than 30% a year ago. We're also seeing increased demand for our Power Systems business in all regions, particularly in Canada, but also of note in Chile where we were very pleased to receive our first order for a new large-scale data center in Chile, the long-term global customer. Please turn to Slide 7. We continue to deliver strong year-over-year growth in profitability. Gross profit was up 25% with an increase in gross profit margin driven primarily by a higher proportion of product support and the revenue mix. SG&A increased by 13% due to workforce additions and higher variable costs to support revenue growth and service levels. SG&A as a percent of net revenue decreased by 110 basis points to 16.7%, our lowest percentage on record, reflecting proactive, cost management and productivity gains. We've made significant progress in improving our productivity across people, facilities and supply chain areas, by delivering on plans, we set out at our 2021 Investor Day including deployment of the RRR model, warehouse and back-office consolidation and procurement spend management. In addition, successful execution of our cost of sales initiatives also played a key role. So while you may see more clearly the improvements in SG&A through that line item, we've had an equal number of initiatives focused on improving cost of goods sold and is helping to drive our strong operating leverage as well. When we look back at our adjusted Q3 2019 results, our Q3 2022 net revenue was about $300 million or 16% higher, mostly due to higher product support, yet our SG&A increased by only $20 million or 6%, despite the highly inflationary environment. This has helped us double our EPS and improve return on invested capital by 610 basis points from pre-pandemic levels. Slide 8 summarizes our Canadian results and outlook. Net revenue increased by 33% in Q3 2021 with higher revenue across all sectors and lines of business driven by strong market conditions in Western Canada. Product support revenue was up 32% on higher spending in mining, strong demand in construction and successful execution of our product support growth strategy. New equipment sales were up by 52% driven primarily by deliveries in the oil sands. EBIT as a percentage of net revenue was 11.7%, up 130 basis points from Q3 of last year driven by improved operating leverage from productivity initiatives. Our outlook for the Canadian business is positive. Canada equipment backlog increased by approximately 25% from June 30 reflecting broad-based strength in order intake. We expect commodity prices to remain constructive and improved capital budgets to drive investment in renewal of aging fleets and product support opportunities in the mining sector. This quarter's backlog included the two significant mining orders for delivery in 2023. In Construction & Power Systems, public and private sector investment in infrastructure and energy should continue to support robust activity. Our order intake was up 25% in construction and triple in Power Systems compared to Q2 of 2022. Please turn to Slide 9 for our results in South America. Net revenue increased by 5% in functional currency from Q3 2021, as growth in product support was partially offset by lower new equipment sales. Product support revenue was up 24% in functional currency, largely driven by strong demand in Chilean Mining. After slowing growth in product support revenue in Q2 due to supply constraints, we were able to catch up during Q3. New equipment sales were down 23% in functional currency from Q3 2021. Construction activity has slowed impacted by higher equipment prices, a weaker Chilean peso and higher interest rates, prompting some customers to postpone purchase decisions. Lower mining equipment sales compared to Q3 2021, due to supply constraints impacting the timing of backlog deliveries, significant deliveries to Chilean mining customers in Q3 of last year. South America's EBIT as a percentage of net revenue was 12.3%, up 310 basis points from Q3 of 2021 driven by the shift in revenue mix to product support, improved cost structure and favorable impact in the Chilean peso evaluation. Going forward, we expect significant mining deliveries in Chile from our recent wins with BHP and Codelco as well as committed to medium-term investments in fleet replacements across mining customer base. We also expect to see continued strong demand for mining product support technology solutions including autonomy. South America's equipment backlog increased by approximately 25% in functional currency from June 30 driven by strong order intake in mining including 798 electric drive trucks for delivery to the HPS Escondida in 2023, as part of the agreement we announced with BHP and Caterpillar in late August. Over the next 10 years, we will replace BHP's entire haul truck fleet at the Escondida mine, where of the industry's largest fleets currently comprised of over 160 haul trucks, with new Caterpillar 798AC-electric drive all trucks. The new electric drive trucks will feature technology and deliver significant improvements in material moving capacity efficiency reliability and safety. The agreements allow BHP to accelerate the implementation of its autonomy plans by transitioning the fleet to include technology that enables autonomous operation. In addition the agreement sets forth the path for BHP to meet its de-carbonization goals through the progressive implementation of zero-emission trucks. Currently, we have less than 20% of the total BHP order in backlog for 2023 delivery. We will also provide technical support to the new fleet through our integrated knowledge center in Antofagasta. Our long-term outlook for copper mining in Chile remains constructive. We expect Chile will remain an attractive place to invest as electrification trends drive global growth and demand for copper. We continue to monitor the constitutional reform process closely. We are also actively monitoring the process for approval to proposed revised mining royalty framework. We are encouraged by the moderation that was recently announced by the Chilean government. We expect the timing of investment decisions related to greenfield and new field expansion projects will remain uncertain to the new proposal is finalized improve. Construction activity in Chile is expected to remain soft, due to rising interest rates and the weighting peso. However, mining contractors remain busy. We continue to see significant quoting and order intake activity from this customer segment. I'm now turning to the UK and Ireland on slide 10. New equipment sales were up 19% in functional currency from Q3 2021 driven by HS2 deliveries and strong demand in the construction sector. Product support revenue was up 38% in functional, currency reflecting robust construction machine utilization, as well as the contribution from Hydro Flip. We are pleased with the EBIT performance in the UK and Ireland. EBITDA as a percentage of net revenue was up 60 basis points to 6.2%, reflecting structural profitability improvements and the positive financial impact from the acquisition of Hydroid. Given softening macroeconomic conditions in the UK, we expect construction activity to moderate in 2023. However, demand for our Power Systems business in UK and Ireland is expected to remain robust, especially in the data center market. We will continue delivering equipment to HS2 and we have a strong backlog of power system projects for delivery into 2023. We expect high machine utilization hours and the addition of Hydro equipped to continue driving solid product support activity in UK. Our balance sheet remains healthy with net debt to adjusted EBITDA of 1.8 times at the end of September. We generated significant free cash flow in September and expect strong free cash flow in Q4 2022. However, due to potential shifts in supply and delivery schedules free cash flow may not be positive for the full year. We continue to demonstrate strong execution, expansion of our earnings capacity in the third quarter. We expect significant mining new equipment deliveries in Chile and Canada in the fourth quarter and we have built a high-quality backlog for next year. We're closely monitoring leading indicators and proactively managing risks as we continue to deliver our equipment backlog execute our product support growth strategy and operate with cost and capital discipline, we expect to finish the year strongly and continue that momentum into 2023. Operator, I'll now turn the call back to you for questions. 
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Yuri Lynk with Canaccord Genuity. 
Yuri Lynk: Thank you. And first, I'd like to wish Scott all the best in his new role and congratulate him for a job well done at Finning.
Scott Thomson: Thanks, Yuri. Much appreciate it.
Yuri Lynk: Yeah. Thanks. No problem. I don't know who wants to take this one, but just on product support very strong in Canada – and the Canada and South America in the quarter. It even increased sequentially which is not the typical seasonal pattern we see. Is there anything – was any demand pulled forward in the quarter, or is this a – would you view this as a sustainable level to kind of reset our models going forward from here?
Greg Palaschuk: Yeah. Yuri thanks, it's Greg. Yeah, we're really pleased with the level of product support activity obviously within the quarter. There was an element of actual pushback from Q2. So as we highlighted last quarter, there's quite a bit of inventory on boats in Chile. And actually, we saw about a 30-day increase – or 30-day improvement in time on ships during the 90 days within the quarter. So that helped have some more inventory arrived and we're-able to catch up some of the demand that was in Q2 that we fulfilled in Q3. So that was helpful. And then Canada is a very broad-based demand across each sector. And so it was actually seen – previously having construction above mining in terms of growth rates and they were roughly on parity for the quarter. So, we're seeing really good demand coming from the mining sector. And so it's a combination of having supply, which I think we've managed quite well and seeing some improvements there within the quarter, but also just demand being a little higher than we expected and you highlight a little more than you see in a typical Q3. So pleased with that, so I think some of it's strategy some of it is supply, but demand is just – continues to be strong. And of course, we're looking at the leading indicators, but that looks to be the continued trend at the moment. 
Yuri Lynk: Okay. That additional color is helpful. Second question just given the size of the backlog here can you help us at all with the cadence of conversion to revenue in 2023? And just confirm I think I heard that the bulk of it will be delivered next year. 
Greg Palaschuk: It's a pretty solid backlog. We're pleased with that. Of course, we're going to be very busy in Q4 delivering as much of it as we can, putting as much through the workshops and in the customers hands as we can. And then through 2023, it's pretty balanced. Most of the backlog that we added from last quarter was for the second half. BHP would be included in that, but a couple of other Canadian mining orders. So it's pretty balanced. It's mature on the one hand but most of the add that you saw between this and the last quarter will be for the second half. So, it's as good as backlog as we've obviously ever had, but clearly the start of the year. So, pretty pleased. 
Kevin Parkes: And Yuri, I'll just add to that that we are being very disciplined about how we manage that backlog through the system and making sure that we're not adding to pick us in terms of technician capability, making sure we're using contractors as well to help us manage the execution of that backlog. So, you can expect that as Greg says, to be a consistent flow through the course of next year. 
Operator: The next question comes from Jacob Bout with CIBC. Please go ahead.
Jacob Bout: Good morning. Maybe I'll just start off and congratulate Kevin on his new appointment as CEO and best of luck to you in your new endeavors here Scott. Maybe just starting off, you talk about what your first priorities are in areas of focus?
Greg Palaschuk: Yes, sure. And thank you for your kind comments there. In my immediate priorities right I mean succession's a gift let's say that first. So I feel very blessed and happy to be asked to take on this really important all and thanks Scott and the Board for their thoughtful succession process. My immediate priorities are to help the organization through that succession process. It is a gift. We have -- we should welcome and to embrace the stability that it gives us. But we'll still need to manage our employees. They'll have lots of questions and concerns. So I'm spending a lot of time talking to all stakeholders about the transition and what's on their mind. And then really, it will switch back into execution. So we put a strong Q4 to deliver. We need to make sure we're effectively doing all of our resources in the right way, to execute on that backlog delivery, but also to continue to support our customers through what is a challenging, but encouraging environment right now. We need to double down on our aftermarket growth share opportunities. As I mentioned in my remarks, we're extremely happy with the progress we've made in construction equipment. And we are seeing very early signs of some of those initiatives, really starting to take hold in the mining sector as well. So it's not just strong mining activity that's driving that. There's a new focus and a new approach there. And then maintaining the mid-cycle operating model cost and capital discipline. We are very pleased with our performance and our results. It would be easy to get carried away with that. And it's still for our employees at times to manage through this challenging environment, where we should all be happy with the activity levels and find ways to manage through that without most -- maintaining that cost and capital discipline to the cycle. So -- and then finally of course, that will result in free cash flow generation. So, very important that we sell through this inventory in the appropriate way timing and we generate our free cash flow, as we move through the end of this year and into next year.
Jacob Bout: Thank you for that. And maybe my second question just on this large data center project in Chile. I think, you said that was the first of its kind. Maybe just talk through, how big of an opportunity is this? I know that you have done some of this in the UK, but how big of an option you use us both in Canada and South America?
Greg Palaschuk: Yes. So, we're really pleased. I mean, obviously, the first data center is always an important one and it's what the customer doubles for a long time with a great relationship. So, we're pleased. And then they -- it is their first as well, but they're looking at multiple phases. So, there's been some small-scale data center business, the team's worked on, but this is kind of stepping into more of the types of projects that we do in Dublin and London area. So, really pleased, it's the first one. It is multiphase. So it's been of a starter kit. We'll have to see where the trends go, but we're really encouraged and pleased to win that sort of business.
Kevin Parkes: And important to note here that, our UK team that have kind of been the pioneers of this for our business and certainly, they've extended their execution beyond the UK geography. They've delivered over 70 projects over the last few years, now were giving lot of capacity. And they're collaborating really well with people UK team in Chile supporting our South American colleagues to execute this really well.
Jacob Bout: And is there opportunity in Canada would be doing the same thing there?
Greg Palaschuk: Yes. There's some smaller scale in Canada, as well. The climate isn't quite as supportive, but there definitely is activity with the kind of bigger telecom companies. It wouldn't be as high a percent obviously as the UK or the potential in Chile.
Jacob Bout: Great. Thank you.
Greg Palaschuk: Thanks, Jacob.
Operator: The next question comes from Michael Doumet with Scotiabank. Please go ahead.
Michael Doumet: Hey, good morning, guys. Follow-up on the product support side. Putting aside maybe the catch-up in South America, what's the confidence level that you can achieve at that Investor Day 5% to 9% growth on top of these very strong numbers? And can you give us a sense or maybe some examples of the applied learnings and construction that you're applying to mining?
Greg Palaschuk: Yes, for sure. So of course, when we did the Investor Day in June of 2021, the inflation assumption we put in was 1% to 2%. So, not to adjust for kind of current inflation levels and obviously price increases have been more double digits this year. So, that's played a factor. But in terms of fundamental volumes, I think we're driving above the 5% to 8%. That's still a level that we want to continue to look to grow the business grow share and keep compounding. So that's our goal. Obviously, it's a really supportive market right now, but all of our ambitions are the same.
Kevin Parkes: I would just add Michael -- so there's key learnings around how you approach rebuild. So some miners have been early adopters of rebuilds. We've seen a growing trend in that regard. Some of that is supply chain driven. Some of it is thinking about how you manage the energy transition moving forward. But I think, the key thing there is appetite and being really where you're losing. We clearly understand in construction where we're not winning in the aftermarket business. We've always had a really strong market share in mining, but we don't win everything. And so being really one about winning everything is really important. And then, attaching that -- those winning those lost areas and driving absolute loyalty with our mining customers is critical and making sure we attract all aspects of their products and poor business by attaching loyalty and incentives around that is a key to that as well.
Michael Doumet: That’s great color. Thanks. And Greg, just trying to think about your comments on operating with mid-cycle approach on costs and capital, I mean, is that to say that you're managing costs, maybe with a different mix in terms of variable versus fixed with a view of kind of like a medium term? Just a little bit of color there for a better understanding.
Greg Palaschuk: Absolutely. So it is part about having a higher variable cost base. Part of it is being proactive and just keeping an eye out for the next part of the cycle. So, as Kevin highlighted, we're using some contractors in places where we would have previously added full-time employees. That would be an example of trying to manage the cycle more proactively. But across the business, we're constantly looking for ways that we can variabilize more costs. I think, we've been fairly successful in that. It includes some of the compensation incentives and those sorts of things. So, triple our model, I think is a perfect example. We're trying to put capabilities in the right places to stay busy through the cycle and work through shifts, rather than building more facilities to add capacity. And so, in that model, in theory, you'd want to have triple shift at the peak of the market and single shift at the bottom as an example. And so we're really trying to put that in place, so that we can be more variable through the cycle. And at this point we're certainly making sure we manage our growth very responsible, more responsibly watching leading indicators but we've got a lot of momentum and we're trying to balance those to all.
Michael Doumet: That’s great. And lastly obviously, congratulations Kevin and Scott, obviously well done and I’ll see you around.
Scott Thomson: Thank you.
Kevin Parkes: Thanks, Michael
Operator: The next question comes from Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan: Great. Thanks. Just wanted some color on the Canadian construction market and what's kind of keeping that going versus the other two? Is it the infrastructure investment being made in Western Canada, or is it more the macro situation in Canada versus the UK or Chile? 
Greg Palaschuk: Yes. So from a Canada perspective, I mean it's pretty broad-based. I mean you've got two large-scale pipelines headed down the home stretch. You've got a lot of infrastructure projects that were sanctioned at the beginning of COVID that are partially the way through. And then just given how well commodities are performing each of the governments are kind of in a surprise – surplus position with elections coming up in the next couple of years. So looking at another set of infrastructure. So it's pretty broad-based. Customers aren't immune to higher interest rates and some of the other pressures, but it's just very solid including more oilfield service activity which – that brings in construction for a component as well. So it's just a pretty solid environment.
Sabahat Khan: And are you finding the other construction customers or maybe – I mean other regions are going more to maybe product support? Are they taking a bit of a pause? Just kind of what's sort of their reaction to the kind of the current backdrop? Is it just a pause in the equipment? Kind of – what are you seeing in terms of feedback from them in terms of demand? 
Kevin Parkes: Yes. I would say, Sabahat, as Greg mentioned in his remarks in Chile, there's no doubt we're seeing a slowdown in construction activity there given inflation and in the devaluing currency. So it's a smaller part of our business in Chile, but that there's clearly signs that that occurred and that isn't a switch to product support. That's just a – more towards slowdown in construction activity. In the UK, we've done a lot of work on this. We use the UK as our kind of our watch targets how forward-looking business into what's happening in Europe. And I would say that in the second quarter there was a – I'd call it more of a stating and a wait-and-see kind of environment. Order intake has been better in Q3 than it was in Q2 in the UK. So we saw some decisions being shifted later in the year. Typically orders will be placed in the first two quarters in the UK. We're seeing that shift to the right a little. But I'm relatively encouraged with the order intake during Q3. We've been personally involved in some of the conversations. And there is still a tight supply environment which customers are being very mindful of on a high inflationary environment. So equipment in next year will cost more than equipment this year. So customers are thinking about that as they manage through their supply decisions and they're talking about their own clients about that. So I'd say encouraging sentiment from the UK. actually from a construction perspective we're being very mindful and watching the dynamics there. I'm sure you will see the change in pretty fast. 
Sabahat Khan: Okay. And then it sounds like the mining environment is still good in Chile. Have you seen any change in tone maybe more positive as some of the constitution reform is kind of going on, or are people still waiting for kind of a final decision on that before moving forward with any big investment, or has kind of the recent vote against state and some of the other royalty changes? Has that made people a bit more optimistic? Are they getting more active with investment? Just – what are some of the discussions on the mining front in Chile? 
Greg Palaschuk: I mean there's been a pretty steady flow as you can see of order intake quarter-to-quarter despite some of the uncertainty. But absolutely some of the more formal moderation publicly I think has encouraged customers. There's still discussions ongoing on the moderation. But I think there's some encouragement there but the process will take some time still to play out. It still solid activity levels and good order intake. But for some of the bigger decisions to be made you kind of have to have that agreement finalized in place and stability agreements negotiated. So that will continue to take some time but we're really encouraged with – Tech QB2 is ramping up the first production. We're getting ready – we're continuing to deliver units to Codelco and getting ready for BHP. So we're pretty busy. I'm pretty pleased with the environment regardless – and that gives us some more encouragement about the next cycle.
Kevin Parkes: The only thing I would add to that Sabahat is that the current situation longer term our advice and our customer conversations reinforce the long-term outlook for copper in Chile is still very robust. 
Sabahat Khan: Great. Thanks so much for that.
Kevin Parkes: Thanks, Sabahat
Operator: The next question comes from Devin Dodge with BMO Capital Markets. Please go ahead.
Devin Dodge: Thanks. Good morning. I wanted to come back to one of your – one of the earlier questions from Yuri. But just trying to see if you can give us or help us understand, where you saw the most outperformance in Q3 versus your prior guidance? I think everyone on the call here appreciates that you're looking to guide conservatively but when your results surpassed the updated guidance by such a wide margin and so soon after you provided it – I'm just not sure if you get full credit. So any thoughts there? 
Greg Palaschuk: Yes sure. So I mean it was a solid quarter. We saw supply a bit better than we thought. Demand in each region was higher than we thought. There was some mid-year price increases that went through the system and there's still continued very strong demand which we thought there might be a little bit of softening given that. And then it's all three regions at the same time. And some of the upsides we captured within the quarter. And I guess when you do all those things at the same time keep costs in check. It works well in this business model. That's the strategy sell lots of parts keep costs low and reinvest to compound and all of that came together in the quarter. I would say there's – probably a little bit of FX helped uniquely in each region a little bit. So when you get all those things together it drops to the bottom line and we're pleased with the quarter.
Devin Dodge: Yes, okay. Thanks. Good color, okay. Second question ROIC in South America. Look is that the very top end of the range that was outlined at the Investor Day? Look it's a bit of a first cost problem here but is the range too low, or should we expect ROIC to maybe moderate a little bit going forward? 
Greg Palaschuk: That business has got good momentum. They're doing all the building blocks really well again driving product support keeping costs well in check. And so it's done a great job. We continue to see that look positive and we can still see room for improvement.
Kevin Parkes: Yes. I would say that the lever there really Devin is around invested capital working capital to sales. That's the major focus. And some of that is the kind of challenges that we see in the supply chain environment. So remember the bulk of our partnership and from Miami down to South America, and there's been some specific challenges, which Greg mentioned have improved in Q2, which helped. But we still think there's a crank there in ICT terms. And some of that is related to the fact that we inventoried or and support our customers. Some of it is just the unique challenges around the geography, which need to have our best minds, best supply chain capabilities working on that, which they are. And I think we're surprised there. So I would say it certainly isn't peak from my perspective.
Devin Dodge: Got it. Okay. So just before I turn over, I just wanted to say good luck to both Scott and yourself Kevin on the new roles. Thanks.
Scott Thomson: Appreciate that Devin.
Operator: The next question comes from Bryan Fast with Raymond James. Please go ahead.
Bryan Fast: Yeah, thanks. Good morning. First off, Kevin congrats on the new rule. Scott, all the best going forward.
Kevin Parkes: Thanks Bryan.
Bryan Fast: Just on product support, obviously, we're seeing continued strength here. Could you provide some color maybe on rebuilds and how that has trended of late? And I guess are you seeing a shift in how customers view rebuilds particularly in South America?
Greg Palaschuk: Yeah. So for sure, we've had a completely different approach to rebuilds in the last two years coming out of pandemic as we've deployed the product or strategy across all three regions. I think we've already surpassed the annual rebuild total for last year, which was up considerably on the year before. I think the economics, and we reposition the economics around rebuilds to be more compelling. We've increased the capacity on the turnaround capacity of our ability to perform rebuilds, which has encouraged customers to look at them differently. And then if you overlay that with tight supply chain environment. And that's also been a tailwind I guess, in terms of driving rebuilds. We've certainly seen that in South America particularly from a construction equipment perspective in South America less so from a mining rebuild perspective. The mining rebuild situation is different in Canada than it is in South America. But we do see a lot of ancillary product rebuilds in South America were less around the major trucks. The general direction of travel is on refresh as you've seen by the backlog and the deliveries of mining equipment in South America. Some of that relates to the visibility to the pace of the energy transition. So electrification is -- will happen sooner for sure not sure when, but it will happen sooner in South America. And so that's a part of the thought process for the miners in South America.
Bryan Fast: Thanks. That’s good color. And nice to see SG&A trending below 17% of revenue. Could you just talk a bit about the warehouse consolidation in Western Canada? And are we now seeing the full benefits in results?
Greg Palaschuk: We're not seeing -- the warehouse consolidation is transformational. And the direction of travel and the goal is compelling. I would suggest that we always knew this was going to be difficult as we consolidated five warehouses in Edmonton into one. That is going well. I would suggest it's a quarter or maybe two behind where we would like it to be. But we've seen gradual improvements throughout the summer and into the fall here. So we're confident we're on the right track but more work to do. So I wouldn't suggest for a minute we're seeing the full benefits of that right now. In fact we're still seeing some pressures in that space. But like I say, we have to just keep looking at the continued improvement in customers and employees tell me that they're seeing improvements. And we're all in it together in terms of delivering in this transformation, which will be huge for Canada.
Bryan Fast: Okay. I appreciate the color. That’s it for me.
Operator: [Operator Instructions] The next question comes from Maxim Sytchev with National Bank Financial. Please go ahead.
Maxim Sytchev: Hi, good morning. Scott, obviously, all the best, and Kevin welcome. A quick question in terms of if it would be possible to quantify the construction headwind that we could see in maybe 202? I don't know if you can maybe talk about directionality or percentages maybe any color there.
Greg Palaschuk: Yeah. It's a situation Max where the machine utilization hours are still very high. Some of the order intake has stop, or as Kevin just went through a bit of a different seasonal pattern but there's still a good cadence to order intake. So I wouldn't say we could give a percentage of how much off it would be. But ultimately I think you wouldn't see as much growth in the new equipment side next year, but we're probably in a position with the backlog and then mining where that's more than made up for in the mining space.
Kevin Parkes: Yeah. And just be mindful Max that we are -- there's been some really heavy deliveries in HS2 in the UK, which won't repeat. But if I look at the top five -- our top five customers in the U.K, I would suggest that their order intake or their or the current demand profile is not dissimilar to what it was this year.
Maxim Sytchev: And then in terms of -- I had a question in terms of the pricing dynamic. I mean, you said that you still push through kind of midyear increases. I'm curious, if there's any pushback from clients especially as yen depreciated recently? So just, wondering about the competitive dynamics there. Thanks.
Kevin Parkes: No. I mean -- so, I think we had a really thoughtful approach to price increases and we were well prepared. We had good data around us. And we were -- we moved quickly to pass through our supplier price increases and the impact of inflation on other aspects of our business. I would say that, to a large extent customers are being, understanding of that. We've seen similar moves from a competitive perspective in the marketplace. So I wouldn't suggest that we've seen an alternative approach because of the revaluation at all. I think that we're still in a very inflationary environment across all of our markets. And people appreciate that, and as long as you do it transparently and responsibly. And the reality of every conversation might tend with okay so what we except prices are increasing but how do we become more efficient how do we get more bang for our book. And that's where we focus our teams on -- you might -- your price might go from $100 to $110 but how do you spend less. And that's super critical for the long-term success of all of our customers.
Maxim Sytchev: All right. Okay. And then, one last question just in terms of kind of thinking a bit more about the mid-term directionally. I mean like what needs to happen? Obviously I think investors are pleased with $3 EPS kind of on an LTM basis. Like do you want to maybe discuss a little bit puts and takes to kind of push it to the next level, or like I mean would need to happen from like maybe a revenue perspective or macro? Just maybe some thoughts on this front. Thank you.
Greg Palaschuk: Yeah. So overall, I mean, we're really encouraged by the pace and momentum. As we highlighted we think we'll have a really strong finish to the year, a strong start to the year. We built -- already started to build a good backlog for the second half most of which the orders within this last quarter were for the second half of next year. So we're pleased with that dynamic. There will be midyear price increases that are for the full year next year, and as long as we continue to have strong momentum in terms of commodity prices and customers with increasing capital budgets. We think we continue to add momentum. We're pleased over the last four quarters to get above $3 level. And we think, we'll continue to add to that as the market stays supportive.
Kevin Parkes: Max, I would just add to that that we see our market expanding as we move into the energy transition in tax pillar I spoken to that as well. We're very well placed to help customers through the energy transition whether it be, new equipment or power generation. But most importantly, we have market share opportunities across so many aspects of our business that we're continuing to pursue and have very focused strategies around pursuing that whether that, be in the new equipment population or in the aftermarket space. And we are seeing this trend and this greater uptake in rebuilds particularly in the construction space. So we expect that to continue as we move forward. So we're certainly committed to our product support strategy and the growth trajectory that we've previously highlighted and we see that continuing. And I guess, the last thing is just the mid cost discipline -- mid-cycle cost and capital discipline. We appreciate for our employees its tough right now but we are working hard with them to deploy all of our resources to make sure we deliver for our customers but we build a sustainable business model because nobody wants to talk about the [indiscernible] we've committed to our employees if that's the case.
Maxim Sytchev: All right. Okay. That's super helpful. Thank you so much.
Kevin Parkes: Thanks Max.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Amanda Hobson for any closing remarks.
Amanda Hobson: This concludes our call. Thank you for your participation. And have a safe day.
Operator: This concludes the conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.